Operator: Greetings. Welcome to the Pressure BioSciences Q3 and Year-to-date Investor Call and Business Update. [Operator Instructions] Please note, this conference is being recorded. 
 I will now turn the conference over to your host, Richard Schumacher, President and CEO. You may begin. 
Richard Schumacher: Thank you, John. Appreciate it. And thanks, everybody, for joining us. I know it's not as convenient as usual. This is a holiday week, and some of you may actually already have started your holidays, so I apologize that it ran into a holiday week, but we had some -- a number of things that we had to get done with our auditors to make sure everything was in there, and we did, and we couldn't get it done. And I didn't want to file it on a Friday. So we filed it yesterday. 
 So if I forget, I want to wish everybody a happy Thanksgiving and a happy holiday. Some of you -- I know many of you personally. Some of you know that I went through hell. In August, I had open heart surgery. I had triple bypass and the aortic valve replaced. 
 And -- so for me, I have a lot personally this year in addition to my normal to thank -- to give thanks for. So I'm back. I'm at it. I've been at it for a number of weeks now. So don't take anything for granted. I was -- I'm a healthy guy. I walk a lot every day. But one day, my chest started hurting and a month later, I was in for a 6.5-hour operation. So guys, we all have something to give -- many things to give thanks about, and let's remember that on Thanksgiving and every day. 
 So I'm going to start by reading some remarks that we need to read up front. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. 
 Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or change in events, conditions or circumstances on which any such statement is based. 
 The agenda today is similar to the agendas of the past. First, I want to welcome back to the PBI financial review and business update, Jeff Peterson. Jeff is PBI's Board Chairman. Welcome, Jeff. 
Jeffrey Peterson: It's a pleasure to join you again. 
Richard Schumacher: For today's meeting, we're going to start with a very brief discussion of the 2023 third quarter financial results and year-to-date. As I've mentioned before, the Q has been filed. The press release is out. We'll take questions at the end, but there's no need to really spend a lot of time going through the results because everybody has them. 
 I think what's more important is to talk about the accomplishments that we've made and also talk about our goals for the fourth quarter and next year. A lot of very, very exciting things are going on. Some of you that I talked to you, I think we've had some exciting times in the past quarters, in the past year or 2, and we have. But I think the best is yet to come. And there's a lot of very, very exciting things that are going on as we move further into commercializing Ultra Shear. 
 So that's going to be -- it's going to be a fun time for, I think, not only employees here, but also for our investors. And after we briefly go through the finances, we're going to answer a few questions that have been sent in, and we're probably going to build them into remarks that Jeff and I make. And if time remaining, of course, as always, we do our best to open up with the phone lines. 
 So first, I'm going to briefly talk about the financial overview of Q3 versus Q3 '22 and the year-to-date. We look at this as a good -- comparatively a very good third quarter and of course, 3 quarters to date. Basically, it matched our record of 9 months to date that we've ever had. So it was a good one. But as we said and John said in the press release, it's not good enough. We're not happy with numbers being where they are. We want to see a 0 or 2 after those numbers. And where we -- John has been working hard on what we've learned over the past year, 9 months, and how do we really start to increase these revenues, the way we all want them. 
 And quite frankly, we know that a lot of it is going to rest on Ultra Shear and we just started shipping Ultra Shear and taking orders in the summer and shipping on October 2. And so that is where a lot of this is going to happen. But because it's not happening yet, it's really our core business, our pressure cycling technology instruments. Even though we're not putting a lot of effort into them and a lot of focus on them, we're having -- we've had a terrific year so far with placing instruments around the world. We've signed up with maybe the best distributor in India, which is a burgeoning economy there for what we do, what we sell. 
 So our core business is doing well. And we say, wait until Ultra Shear starts hitting, and this is not something that we believe is going to take years to hit. We think everyone will understand how big Ultra Shear can be over the coming few weeks and months. And so that's what's so exciting about it. 
 So our revenue in total instrument sales and consumable sales were all better than last year. And through 3 quarters, revenue -- total revenue, instrument sales, consumable sales are all better than last year. And as I said, not just better than last year, but equal to or better than any quarter or 3 quarters that we've had in the past. 
 So we're happy with that because it brings in cash flow. But we're not satisfied with it, and John is working very hard to do whatever it's going to take to continue to grow the core business while Ultra Shear starts to come on and come on strong in 2024 as we believe it will.
 A couple of important things on the financial end. The first thing is that we -- and this is in the press release, hard to find it in the Q, but it's in the press release. Our cash burn was reduced by about 30% year-over-year. So in the third quarter of this year, our cash burn was $732,000 or about a little over $220,000 a month, $732,000 for the quarter. which was 30% less than the cash burn a year ago. And for the 9 months to date, our cash burn was about $2 million, which compares favorably to $3 million last year in the 9 months -- first 9 months of 2022. So we've taken it from about $335,000 cash required for operations in 2022, down to $220,000 in 2023. So we're watching very carefully our cash. 
 Some of the cash burn is because we have investors who are willing to take stock rather than cash, which is helpful to us at the moment. So the stock number of shares has gone up but the cash burn, which is very important, is going down. 
 The other thing is operating loss. Our operating loss was down slightly in the third quarter of this year compared to the same quarter last year, about 5%, but the operating loss was down significantly in the first 9 months. If you take out the onetime charges that were in the third quarter that we don't expect to see again. You take them out and our cash -- our operating loss was down significantly. 
 So we put together a number of accomplishments. We won't spend a lot. Jeff and I are going to talk about several as we go through. But in the press release you put together -- and in the Q, we put together a number of accomplishments. I think the number one, and I've asked Jeff, who is very close to it, if he would speak to it in just a minute, but the #1 accomplishment clearly was the publication in a peer review journal by one of the top cannabis and natural products groups in the country, a paper on our Ultra Shear nanoemulsion of CBD. It was clearly the best thing that's happened to us in the quarter in terms of accomplishments, operational accomplishments. And Dr. ElSohly talked about the unprecedented speed, efficiency, reliability and primarily bioavailability that he found in his animal study using our Nano CBD. 
 And I'm going to ask Jeff to go into that in a little bit more detail. And then if there's questions at the end, we'll take them. 
 We also announced a distribution agreement with Bioscreen, which is in a lot of people's estimation, the #1 life science distributor in India. So we're very, very happy. They purchased one instrument to start training, and we sent Jim Behnke over to train them on it, but they're looking for -- they're telling us they think they're going to have a lot of sales in 2024. So we're excited -- very excited about that. 
 We're excited at the veteran service team who gave us an order -- an initial order for 500 models of Nano CBD that they were going to white label. They increased it by tenfold. They multiplied it by 10 and said, "No, we need 5,000 models." They have a relationship with the Mixed Martial Arts Bellator. If you go to their website, DSD, veteran service team, dsd.org. You can both order the Nano CBD from them and they decided that they're going to start it off selling it at a very, very reasonable price to try to seed the market and let people know what a good product it is. So dsd.org. 
 And so we got our first Canadian patent, which brings us up to 43 issued patents and 8 issued patents in Ultra Shear and 17 more that are pending around the world in Ultra Shear. So our IP estate continues to grow and grow in the right area, which is an Ultra Shear. 
 There was a press release where we talked about the Ultra Shear process, Nano CBD being looked at as a way to extend the shelf life of fresh produce, fruits and vegetables. There's a lot of data out there that true Nano CBD can, in fact, extend the lifetime. And when you look at things like strawberries that in 5 days are pretty bad. I saw strawberries in 15 days that were sprayed with Nano CBD that looked like they were picked that day. 
 So we're looking at this. We've had several people call us about this. And Ohio State, who is our partner, is continuing to publish and work on studies, particularly in the food and beverage area about the uses of Ultra Shear technology. So those are some wonderful things that have happened in the third quarter and a couple of them in the year-to-date. 
 But what I'd like to do now is turn it to Jeff, and we'll try to be brief. But I -- this is my fourth publicly traded company. I've been in this arena for 30-plus years in terms of starting and running public companies. And this is one of the most important press releases, announcements that I've had on any of the 4 public companies I've had. 
 We've had great announcements before, but I'd have to put this in the top 3 in terms of what its impact will be. It doesn't -- it hasn't had that impact yet. We're going to fix that. I was talking to somebody today who said, it's a shame that fell on deaf ears, Ric, but I have to hear to a lot of people, and I'm going to get the word out. So the world needs to know what Professor ElSohly found and what was in that journal article. 
 So to do a short synopsis, Jeff, I'm going to turn it over to you. 
Jeffrey Peterson: Thanks, Ric. So to set the stage for this, I think it's important for everybody to understand what the significance and the differentiation of the Ultra Shear technology is here. There has been a considerable amount published over the years about the impact of nanoemulsions in improving absorption and bioavailability of whatever active material in the oil is desired in that nanoemulsion. And the critical issue is that as these oil droplets get incredibly tiny below 100 nanometers, that preferably maybe down to 50-nanometer kind of size, you're getting down to the size of an oil droplet where the active molecules that are oil soluble in that droplet just can't hide from the body anymore after it's gone inside. 
 Traditionally, in emulsions are larger droplets. Most of the active product just passes through the body and is excreted so it is the tiny droplets and controlling the size and the tiny droplet so they're consistently at that size that delivers the impact of fast delivery and a full or nearly full load of the product for bioavailability to the human or the animal or the plant that will ultimately is consuming it. 
 There are other nanoemulsion technologies out there that have struggled with the ability to scale to industrial scale and serve customer bases adequately or that struggle with the heat exposure they give to the product that can damage the product or that are inconsistent in the size of the droplets. And therefore, you have an unstable emulsion and the droplet start to conglomerate into larger ones and the emulsion breaks down. 
 So the critical benefit here on Ultra Shear is its ability to work at industrial scale literally able to produce multiple liters a minute in our larger equipment on down to smaller R&D sizes that can do small batches effectively for partners as well. But it can do that at industrial scale and make very consistent droplet sizes that we can tune to where we need it, whether it's 80 nanometers, 50 nanometers, whatever. We're getting down to the size of large molecules or small numbers of reasonably large molecules we're going to take out of that size. 
 So we have known just based on past literature, that our Ultra Shear products were going to have unusual effectiveness. We were already receiving information on this in anecdotal accounts from various users of additional products that we were testing in the marketplace in different arenas, whether it was skin care or in the cannabis arena or in potential nutraceutical applications. So we were getting the anecdotal validation. 
 We ran some consumer testing, that was further validating that for us. But what was really missing was to have a peer-reviewed scientific study by well-recognized leaders that would provide that kind of hardcore validation of the technology. 
 And Professor ElSohly and his team was the ideal platform for us to do that. And Dr. ElSohly was the first person licensed by the U.S. government for marijuana -- controlled-marijuana grow sanctioned by the government. And from some of that early activity over 40 years ago, emerged to become one of the leading cannabis researchers in the world, arguably probably in the top 2 or 3 in the world. 
 When he heard about some of the early results that we are receiving and what our process did, he stepped right up to want to do an initial preclinical study in rats and they're an excellent platform for, then we'll see what can happen in humans and other large animals and so on.
 And basically, proposed a study in which they would have a control set of rats that received the product intravenously. And then another set of rats that would get it orally actually straight down to the stomach so you would have a gastrointestinal absorption path. And when he was planning this study, they originally were going to take the first data point at 30 minutes and then another 60 minutes and so on. And we said, "Oh, no, no, we need to see this at least at the 5-minute point and the earlier points." And based on other work done in the past, they felt like that was going to be a waste of the money. And we said, no, we absolutely want it at 5 minutes. And sure enough, as they started doing the study, we came back and said, you guys were right, we have measurable results at the very first 5-minute test point and they went on to complete this study, which reveals a number of really several important points for users and for our potential partners across many industries. 
 And one of the most important points is today, with CBD being -- going down the gastrointestinal pathway, the bioavailability in the bloodstream is in the 5% to 6% of the amount adjusted arena. You can look that up in Wikipedia or various other journal articles. And using our Ultra Shear nanoemulsified CBD via the gastrointestinal route, they achieved 25% bioavailability. So we're talking 4 to 5x, four to fivefold increase in bioavailability in the circulating blood, treating the tissues of your body over what current technologies can do. 
 More importantly, there was a fascinating and critical other conclusion. And that is they measured not just the CBD, but the metabolites of CBD. And what people may not realize is everything absorbed through the gut into the bloodstream is not going in a vein to the heart, it goes in a vein directly to the liver. And most of the CBD very readily metabolized in the liver. So that's one of the reasons you see such low levels circulating in the blood. But he showed that 80% of the CBD was absorbed in the gut. 
 So the vast majority got metabolized in the liver and only 5% was circulating in the blood in a normal case or 25% in the case of Ultra Shear. So we were so effective in getting 80% of the Ultra Shear absorbed that 25% was available in the circulating blood. 
 What that really tees up for us, for our -- for potential consumers and for partners, is the potential to not go through the gastrointestinal route. Used the CBD in a spray into the cheek under the tongue, rubbed into the skin, and there are other routes available. And by doing that, you don't go directly to the liver upon absorption, you go directly into the circulating blood stream, feeding the active material to the body, which then only has a percentage of the blood going through the liver and being metabolized over time. 
 So that was just an extremely important result that came very clearly out of that study and we're very appreciative of that. 
 And although not everybody just reading the study at a consumer level, may put 2 and 2 together and you can get to 10 out of that. It is something that we've been able to share with a variety of major potential partners that has quickly led us into meetings, discussions and potential strategic outcomes that are actively developing that Ric alluded to. So we're very excited about it. And that peer-reviewed journal article was a key addition into our arsenal in terms of how we accelerate the company forward. 
 Ric, I'll go back to you. 
Richard Schumacher: Jeff, thank you. I think that's very clear and hopefully gives some of our participants maybe a different idea, a different understanding of how important this is. It's extremely important. And I'll add one more thing to what you said in that the -- this is all about CBD, but the problem with bioavailability is in any oil-based active ingredient. So if there's an active ingredient in oil, we believe that Ultra Shear can make it more bioavailable, more stable, more essentially water soluble. What's that? 
Jeffrey Peterson: Faster acting as well. 
Richard Schumacher: Faster acting, yes. And we've done pharmaceuticals. We've done nutraceuticals. We've done agrochemicals. We've done cosmeceuticals and not a lot, but a couple in every category. And what we know, which is amazing and very good for us as shareholders, is that the Ultra Shear process does not adversely affect so far, and has not had any adverse effect on the active ingredient no matter what it is inside the oil, what we do is very different. 
 We tend to tell people that we are using physics, not chemistry. Chemistry is -- can be bad. It can be good, but it can be bad. You're ingesting this material that people are putting whatever chemical they're putting into whatever food or beverage you're eating, you're ingesting that chemical. We are using all natural, all plant-based materials. And the important thing is that the active ingredient in any category is not harmed, but becomes much more soluble and much more, as Jeff says, fast-acting. 
 So our sights are on many things. CBD is just the beginning. We've done some THC work and prove the point by if you guys will remember 3 different studies that we published on in press releases showed 3- to 5-minute of effects where individuals using a spray, were feeling the effects of THC, which is unheard of. I had a conversation over the weekend and someone said fast-acting THC is 15 minutes. And I said, how about 3 to 5? So what this means is, whether it's vitamin D3 or curcumin  or prednisone or neem oil or whatever it is astaxanthin, which is the world's most potent antioxidant, we're going to get it in the bloodstream very quickly in a spray under the tongue or in the back of the cheek. 
 And so it opens up a lot of doors. We're talking to a number of people, as Jeff said, not just about CBD, but about many other active ingredients that might be used for enhancing sleep and enhancing immune response and things like that. So -- but we're going to put a lot of effort into CBD because it is a growing market. It is a multibillion dollar market. And there is only one drug on the market, and this drug is used specifically for mostly children who have epileptic seizures related to 2 different diseases. And these -- the CBD concoction stops not ours, but the one on the market has the ability to stop those seizures and other drugs don't.
 We've been approached and we've talked to other pharmaceutical companies or whatever that saying, well, this you can scale it. It's very active. It's more bioavailable in the conclusion section of Professor ElSohly's paper. He said that historically, he's done Epidiolex, which is the drug that's on the market, and he found us to be -- our nano to be 2 to 2.5x more bioavailable. So if you're interested in becoming and getting a drug that's more bioavailable, then we have a method. 
 We think it's the best in the world, best in class in the world of delivering a nanoemulsion with those characteristics. So we're talking to a number of people. So it's exciting times for us, and we're happy that the paper's out, and we're going to be working with others for additional papers and additional studies.
 So I want to talk about another thing that people have written in about and said, please talk about your facility. Six months ago, we talked about a short-term solution because the facility here, we're about 30 miles South of Boston is -- we're in an office park with an office building. It's not conducive for large-scale manufacturing. We can make it work for the orders we've taken so far, but this is not a place we want to be in 2024 when we believe we're going to be getting a number of orders -- big orders. And that's just for CBD, let alone the fact that we want to start working with vitamins and supplements and many other things. 
 So we're looking at other spaces. We've given notice to our landlord here and our landlord North of Boston, where we have a small footprint with our R&D lab. We're going to combine the 2 somewhere in between the R&D lab and us here in Eastern Mass. And we have 3 or 4 places. We have 1 place in particular that we like a lot and we got some very encouraging news Friday from the landlord, and we think that we'll be followed up with something in writing today or tomorrow.
 And this is a facility that has -- for manufacturing, my guess, it's got more than 10x the amount of space available for manufacturing. It's not 10x the total space. But here, 90% of our space here is our offices. And 80% or 90% of the space in this building we're looking at is really meant for manufacturing. So we're excited about this. We're already starting to look at the move. We don't want to have a lot of downtime. So one of the ways that we're going to get around that is I visited another site in Massachusetts with several of my team members yesterday. I talked to the gentleman today. This is a group that has a license to prepare CBD in the state. I also have a license for THC in the state of Massachusetts.
 They have a lab space that is open. They have very good, strong technical people on staff. They would -- they wanted to use our material anyway, and they are game to have us instead of moving our equipment to the new lab and having it sit there until we build it out, we're thinking about moving it to this person's extra lab space, and we might be down only instead of being down a longer period. We might be down for just a couple of weeks and we'll be back up at -- in the middle of December, cranking away at this facility being able to supply CBD through his people and his license.
 So we're excited about the new space because it will give us room to grow well beyond just CBD and we've developed an interim plan that is -- looks like it's going to work quite well to allow us to be down for a very short period of time, only while we move the instrument and train the folks at the other place and be back up in the 10th or 15th of December, making product they can be shipped. So we were asked about that because everyone -- a lot of people knew that our lease is coming to an end at the end of December and that we've given notice at both sites.
 And so hopefully, the best of all things will happen, not only will we get a site that will work with us for -- as we grow multiples of what we are now. But also, we have an interim solution. So we're not going to be down for more than 1 week or 2, we're talking versus which could be much longer. So I wanted to mention that. I wanted to mention the patent. We continue to file patents. We have -- in Ultra Shear, we have 43 total patents in the company, 8 of them are issued in the area of Ultra Shear. It's an amazing technology our guys have developed, but we have 17 patents that are pending. And we have more patents that will be going in. So we're going to build this picket fence around this technology, so that if we take it the drug route and go to FDA and find the partner and get this thing approved, we hope to have enough patents to protect this. And if we continue, which we expect to make it available around the country and around North America for use as an edible or a topical we'll have the space to do that too. 
 So that's very exciting that we're able to have all of those options available to us. So -- and the last thing I'll mention... 
Jeffrey Peterson: Go ahead, Jeff. Ric, I was just going to say you might add, relative to the facilities and capacity side of this that we're also working with a partner in California to have capacity serving the cannabis industry, both on the CBD and the THC side. So we're looking for a 2-pronged approach in terms of having capacity in place. And as we have more equipment available to extend our footprint here in California to be able to serve other markets with R&D development, formulation optimization, tool manufacturing and so on, so that we have 2 footprints around the U.S. for that kind of servicing of clients as we grow and move toward our lease and license model downstream. 
Richard Schumacher: Absolutely. Great opportunity in California. Obviously, cannabis has been there and licensed longer than almost -- maybe longer than any state in the union. We have great people that we're working with that Jeff knows quite well and has helped set all of this stuff up. And my big disappointment is I only have 1 instrument right now, and that instrument needs -- can be loaned part time to this other place in Massachusetts, but it needs to come to our new facility in January. And if we had more, we'd be shipping 1 to California and leaving 1 in the site in Massachusetts. 
 But we are building a second one. We're not that far away from having a second one done. We've purchased the most expensive parts over the past 6 to 9 months. And now we're ordering the remaining parts. And we're also building 3 of our first-generation instruments that are small benchtop instruments, which we have 1 in California that's been used quite effectively. 
 And we'll probably send the second one out there. So they have not only a backup, but double the capacity. So all of this is being done concomitant with everything else that we're doing, making sure that we're always going to be able to make product and ship product. So building these instruments, the extra instruments is very, very important.
 The last thing I'll mention, and then I might ask Jeff to talk about something. The last thing I'll mention is that we do -- we've talked before about several companies that we work with that are multinational billion-dollar companies that are intrigued and working with us. I got an e-mail earlier about an hour ago from one of them, and it's one of the largest companies in the world in its business and talking about setting up something for maybe next week for the next meeting. 
 So our goal and expectation is that 2 or 3 of these that are being worked on at least 1, maybe 2 in 2024, and it could be in January, it could be in December. We're pushing for January, February. It is going to turn into from a pilot production R&D into where we become a vendor of theirs or we bring an instrument in there later in the year. So that we not just do it here, but they can do it themselves, the nano emulsification. 
 So we continue to work with $2 billion or $3 billion companies that have a need for what we have and push them to the point where they can start paying big dollars for us supplying the material or setting them up with instrumentation and having a lease and license with them.
 So the last thing I would mention is that Jeff talked before in the past about complementary technology that could be part of an accretive merger, acquisition, roll-up. It could be part of maybe selling off some of our non-core businesses, but I think -- and I get a lot of questions from investors about this because this is certainly a good way, non-dilutive way generally to bring in money. So Jeff, I don't know if you want to -- you've been involved in some of these discussions if you want to just take that for a second. 
Jeffrey Peterson: Yes, I'm happy to, Ric. So the challenge for the company in its course over this last couple of years as we've been developing Ultra Shear and bringing it to market and getting the initial studies done as we've talked about some. A critical part of our challenge has been just the funding of the company in order to scale to serve the emerging opportunities we have. We've been very limited in terms of our financial capacity to literally order all the product that we need to make equipment and serve the opportunities that we're developing.
 So it's been frustrating for the team and frustrating. And frustrating in pacing some of the advancement. And to address that, we continuously review the opportunities at hand either to sell a non-core asset or otherwise partner it and turn that into a cash-generating opportunity to help the company advance faster in other areas. And we certainly given evidence of some of the progress being made in the other sectors in BaroFold.
 We've talked about how a major leader in the biopharmaceutical contract manufacturing space has purchased equipment after successful early phases of R&D programs with us in using the BaroFold equipment and has signaled interest in potentially getting equipment into multiple other sites. The -- and that may be measured in 10s or dozens of other sites. That itself would be a major opportunity for us, but the potential to work with partners of that scale in a potential deeper strategic arrangement, whether we sell off an asset or partner it in a fashion to generate cash for the business is an attractive opportunity for us. 
 Certainly, possibilities of doing that within the PC -- Pressure Cycling Technology area or subsets of that with partners that have the capacity to do something at a strategic relationship level remains of interest. And of course, with BaroShear and Ultra Shear, the opportunity now being accelerated by the publication of the peer-reviewed article, the opportunity for us to enter into some strategic partnerships and/or merger acquisition arrangements with some significant players across any or many of the fields that we've been talking about from whether it's the cannabis, CBD, THC arena, our interest in the THC arena is really to keep that at arm's length separation from the mainstream activities of the company and to use more traditional licensing structures there. 
 But certainly, CBD, other nutraceuticals in the skin care and cosmetics arena, potentially in the pharmaceutical arena, the impact of this in the pharmaceutical arena, as we've alluded to earlier, can be so large in affecting products that are $1 billion-plus products that as this sinks in for the prospective partners and users or even folks that see this as something that could be competitive to their interest in the pharmaceutical market that there are a number of drivers that could be behind the decision-making processes. 
 But the opportunity for a strategic acquisition merger activity, arising out of that remains high. And we're actively pursuing a number of avenues there. So I just wanted to reassure our listening investor audience that we continue to examine the strategic options regularly and diligently. 
Richard Schumacher: So Jeff, I hear a lot that a lot of our investors that we hear from a lot understand that we have tremendous technology and maybe don't understand why we haven't turned that into zillions of dollars so far. It takes time, it takes a lot of things. And if there's a scale out there of importance, of information getting out there and the reaction to it in our stock. I don't know if there's anything that's a better display of how disjointed it is than the paper that was published.
 That paper is enormously important and it did not have an effect on the stock, but it doesn't mean it's not going to have an effect on the stock. It doesn't mean it hasn't had an effect on our -- on opening doors and opening opportunities for us. And it's only been 2 weeks. And I can assure our listeners that the value of that paper goes so far beyond. It's very shortsighted for someone to look at the stock price and think, "oh, it didn't have an effect on the stock." That paper is going to have an effect on this company for years to come, and it's already started. We've had people calling us, taking our phone calls, having meetings that we could only dream about 3 or 4 weeks ago. 
 So we need to let everyone know that, that paper is immensely important for a number of reasons, many of which you went through, Jeff. And it's importance the old tip of the iceberg. We saw the bare -- the first inch of the iceberg. That paper is going to have some enormous impact on us everyday, every week, every month going forward. So -- we even use it for non-cannabis, we use it for showing people how effective our system is, whether it's cannabis or a nutraceutical or pharmaceutical. 
 So I'll leave it at that, but I'm hoping that investors that listen today or hear this today will understand that it was very difficult to get one of the top people in the world to do this and to have the data that were published in a peer-reviewed journal be as strong as they were, that impact is a tiny impact so far compared to what it's going to be a month from now and a year from now, in my opinion. 
Jeffrey Peterson: So I think the results will be manifest in further news developing and coming out over the next several weeks, I think. 
Richard Schumacher: Yes. Yes, I agree. So yes, I'm glad you point that out. I think it's important to say, this is not something where investors and listeners have to say, "Okay. So I heard what Schumacher said and a year from now, let's see if it happens." Now we -- this is -- there isn't a day that's gone by where I haven't had some interesting happening that related to this paper. Someone calling me, I didn't expect a meeting, someone take in a meeting that we couldn't get before. Someone calling and saying, "Hey, did you ever think about doing this?" And the fact that it has got a strong set of patents and many more coming is also extremely important here. So we have time for a question or 2. And -- so I want to open it up, John, to the floor if there's anybody there that would like to ask something. We - it's 55 minutes in, so we only have 4 minutes left, we're not going to go over an hour. 
Operator: [Operator Instructions] First question comes from Rory Jensen, private investor. 
Unknown Attendee: Glad to hear you, Ric. I'm glad your health is good now, and you sound good and strong. So that's great. That's all that matters at the end of the day. I keep going back to that -- yes, I keep going back to the agrochemical. I want to say, in 2020, we put [ $1.82 million ] into this COG. And what was this on this Q, [ $15,000 ] for the revenues on the agrochemical and this total addressable market in the U.S. is absolutely enormous and this isn't going to be one of your assets that you're going to potentially look at to get rid of are you? Are you still looking at the agrochemical as a huge revenue stream. 
Richard Schumacher: I have to say nothing is off limits. I say that a little tongue in cheek because I can't imagine if someone wants to pay us what we think Ultra Shear is worth and we'll listen, but it's going to be a very big number. So we're going to look at everything, Rory. I'm not going to be specific here. Agrochemical, BaroFold, Pressure Cycling Technology. 
 All of these are -- they all have a great future, but none of them as big as agriculture is. None of them are as big in our opinion, as Ultra Shear because it just -- it flows into so many food, beverage, pharmaceutical, it just is so big. So nothing is off limits. But right now, our focus is getting -- moving this company in the next 45 days and getting ourselves up and running [indiscernible]. 
Jeffrey Peterson: I'll add to that, Ric, that agrochem certainly is one of the sectors of strategic interest to us for Ultra Shear and for Ultra Shear to have transformative impact within that industry, and there are a number of just outstanding fits for Ultra Shear there. But in the order of priorities that we look at in front of us, the profit margins in agrochem are quite a lot lower than we're dealing with in nutraceutical, pharmaceutical and cosmeceutical spaces. So our priority focus is really on those arenas first but we think agrochem is a large opportunity for Ultra Shear going forward as well. All right. 
Unknown Attendee: I have a follow-up that's where I was curious about -- I mean, because we've got a lot of product on shelf ready to ship. And it's now shipping. So if we could ship it to somebody that wants -- that would be great because that was a large investment with little to no return on it. So -- yes, and then the Canadian patent, Ric, do you see that -- are you getting much information from that. Is it provincial, would that be for providence, the license for each providence something of that nature? Are you looking into that product? 
Richard Schumacher: No. No. I'll -- Rory, we got -- maybe we can get one more question in. I'd just say that it's our first Canadian patent. It's in all the provinces. It's a Canadian patent and for Ultra Shear. So we're -- right now, we're focused on the U.S. It's a lot easier to do that. But we have our eyes on Canada next year, and now we have some protection.
 Let's try, if one more question there, John? 
Operator: The next question comes from Kurt Triber, Kurt. 
Unknown Attendee: Rich, I just wondered what was going on with our state licensing efforts that we projected. I think it was around April of this year. I was just wondering where we stand? 
Richard Schumacher: Yes, it's still in progress. And one of the issues, of course, is -- and we've been -- we made it clear that we've been working under someone's license -- someone else's license. And I already mentioned tonight that we have a gentleman yesterday we met with that will take the equipment and run it as if we're running it under his license.
 We have to move, Kurt. So once we get moved and settled in, which I don't think will take much more than the month of January and very much time we'll be making product elsewhere in Massachusetts, we'll move the instrument and we'll deal with it at that time. But it's -- right now, it's not stopping us from doing anything. 
Unknown Attendee: I was basically referring to monies that we thought we would be getting in that were going to be very helpful. 
Richard Schumacher: With respect to the state license? 
Unknown Attendee: Yes. Weren't we going to try to get 5 state licenses and sell them to million dollars. 
Richard Schumacher: I apologize. I thought you're talking about us getting our state license. We did not have a lot of takers. We didn't have any takers, obviously, in selling the state license. I think that's -- I think that might change based upon what happened in the peer-reviewed Journal 10 days ago. 
Operator: We have no further questions in queue. 
Richard Schumacher: That's good because we have no further time in queue. I appreciate everybody, again, happy Thanksgiving. Everybody needs to remember that no -- none of us are guaranteed anything in life. And so I found that out firsthand and the doctor said, I should have heart attack while I was walking in August when my chest blew up and I waited 15 minutes for it to calm down, you said you're lucky that could have been your death, but I had collateral blood flow. So I learned a lot. Guys, hug your husbands, and your wives and your kids and tell them you love them and enjoy your Thanksgiving and then we are going to do it here, but we're going to come out firing on Friday and thereafter. 
Jeffrey Peterson: Thanks, everybody. 
Richard Schumacher: Take care, everyone. 
Operator: Thank you. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation. Thanks a lot. Bye.